Operator: Good evening. This is the conference operator. Welcome, and thank you for joining the Louis Hachette Group and Lagardère 2025 Full Year Results Conference Call and Webcast. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Rapin, Head of Investor Relations. Please go ahead, sir.
Emmanuel Rapin: Yes. Thank you. Good evening, everyone. This conference call will be hosted by Jean-Christophe Thiery, Chairman and CEO of Louis Hachette Group; Gregoire Castaing, Deputy CEO of Louis Hachette Group and Deputy CEO in charge of Finance for Lagardère. And joining us for this presentation, we have Pauline Hauwel, our Group Secretary General; Mr. Dag Rasmussen, Chairman and CEO of Lagardère Travel Retail; Frédéric Chevalier, CEO of Lagardère Travel Retail. All these participants will share their insights and key highlights. This presentation will be followed by a Q&A session. I now leave the floor to Jean-Christophe Thiery.
Jean-Christophe Thiery: Thank you, Emmanuel. Good evening, everyone. I am delighted to present the results of Louis Hachette Group. Driven by the strength and complementarity of all our businesses, our international footprint and the commitment of our teams, we delivered revenue of EUR 9.6 billion and a record adjusted EBIT of EUR 551 million. This strong momentum also allowed us to continue reducing our debt at a rapid pace. Gregoire will tell you more about the figures in a moment. Lagardère Publishing delivered strong performances in 2025, both in France and in English-speaking markets. A few highlights include, in the United States, Hachette Group became the #3 publisher in the market. Along with a strong release scheduled, our efforts to enhance the value of our catalog paid off with the successful release of Twilight, for example. In Europe, the new Asterix Adventure was a tremendous success across several markets. In 2026, we will celebrate the 200th anniversary of Hachette, the world's third largest publisher. The Bicentennial is an opportunity to reaffirm our mission, making reading and culture accessible to as many people as possible. To mark the occasion, we will host a free literary festival in Paris next month. Lagardère Travel Retail also had a very strong year in 2025, driven by profitable growth as air traffic normalized. A key milestone was the seamless takeover of one of the largest travel retail contracts in history at Schiphol Amsterdam Airport. Within Lagardère Live, 2025 saw the best audience performance in 6 years for Europe, now reaching 2.9 million daily listeners and record attendance at our Arkéa Arena in Bordeaux. Finally, for Prisma Media, 2026 will be a year focused on strengthening our core activities in a rapidly evolving market. In summary, 1 year after the creation of our new company, we have demonstrated the solidity of our strategy as a diversified leader in Publishing, Travel Retail and Media. We are confident in our future and our development prospects. Thank you very much all. I will now hand over to Gregoire.
Gregoire Castaing: Thank you, Jean-Christophe, and good evening, everyone. I'm also very pleased to share with you the strong results delivered by Louis Hachette Group this year, the first full year as a listed company. Let me start with the key figures on the Slide 4. And as you can see, Louis Hachette Group's revenues reached EUR 9.6 billion compared to EUR 9.2 billion last year. This confirms the continuation of a solid growth trend in a rather challenging economic environment with an increase of 4% on a reported basis and 3% on a like-for-like basis. Our operating performance was equally robust. Adjusted EBIT rose 8% to more than EUR 550 million. This reflects the quality of our businesses and the disciplined execution of our operational strategy. Cash flow generation was also very strong. You know that this was our priority for this year. I will come back to this point later, but you can already see its positive impact on the balance sheet. In '25, we significantly reduced our net debt by EUR 236 million, and this brings the net debt just below EUR 1.6 billion with a leverage ratio now under 2x, a level that the group has not reached in a long time. Let us now take a closer look at the performance of our different businesses. Starting with the Slide 7 with the Lagardère Publishing activity, which delivered another year of very solid results. Despite a market environment that has generally been trending downward this year, Lagardère Publishing continues to deliver solid growth, supported by its diversified portfolio of activities and geographies. Revenues was up 3% like-for-like basis this year and crossed the EUR 3 billion threshold. The division delivered solid growth across all markets, as you can see, more specifically in France, revenue was up 2% in a market down by 1.5%. The illustrated segment benefited from continued demand for coloring books as well as from the strong performance of the new Asterix Album, Asterix in Lusitania, which sold over 2 million copies as of today. In General Literature, sales were driven by strong new releases, including Dan Brown's, The Secret of Secrets at Lattès, the third part of Pierre Lemaitre's [ series ] and Un avenir radieux at Calmann-Lévy, the Adélaïde de Clermont-Tonnerre's Je voulais vivre, winner of the Renaudot prize published by Grasset, and Nicolas Sarkozy's Le Journal d'un prisonnier at Fayard. The Education segment also benefited from the reform of the sixth-grade curriculum as well as the primary level titles. And regarding the U.S., we are seeing revenue up 3% in a market that was actually down by close to 0.5%. The business benefited from a very strong slate of new releases. Among the top sellers in '25, we had Callie Hart's Quicksilver and Brimstone, Gone Before Goodbye by Reese Witherspoon and Harlan Coben as well as the anniversary editions of Twilight. In the U.K., growth reached a solid 3% in a slightly declining market, supported by the strong performance of several fiction titles, including Onyx Storm by Rebecca Yarros, The Hallmarked Man by Robert Galbraith and Circle of the Days by Ken Follett as well as the continued momentum from Freida McFadden, The Housemade series. The business also benefited from the new distribution partnership with Bloomsbury initiated in '24. In Spanish-speaking countries, Spain and Mexico, revenue was down 6%, mainly due to the curriculum reform in Spain that has started in '22 and that end at the end of '24. Revenue in Partworks was up 6%, a remarkable performance given the trend of this market. This was driven in particular by the successful launches of Warhammer Combat Patrol And Disney Novels. Finally, board games continue to support our other revenue segment and our diversification with a strong 10% growth on a like-for-like basis, supported by the carryover sales of Skyjo with 2 million units sold in '25, along with the successful launch of the new game Flip 7. Now let's have a look to the operating margin of the Publishing brands. On Slide 8, EBITA reached EUR 308 million compared to EUR 289 million in '24, maintaining Publishing's operating margin at a very high level. The high level of margin was driven by the top line growth, of course, and by the favorable sales mix and improvements for the SG&A cost. EBITA also includes the contribution from equity accounted companies, which came to EUR 6 million in '25 compared to EUR 1 million in '24. These favorable effects were partially offset by restructuring costs of EUR 14 million, mainly in the U.S. and in Mexico. Next slide on cash flow. Our strong operating performance translates into steady cash generation. What we show here is the CFFO, the cash generated from the operation, including CapEx before interest and taxes. CFFO came in at a very high level of EUR 361 million compared to EUR 330 million at the end of '24, a solid increase of 9%, considering that '24 was already a record year for the cash generation at Publishing level. This year, this amount included EUR 44 million related to the proceeds from the sale of the real estate asset in Paris rue d'Assas and the sale of a domain name [indiscernible] in the U.S. Let's now move on to Travel Retail on the Slide 11. '25 marks another record-breaking year for Lagardère Travel Retail. First revenue reached EUR 6.1 billion. On a like-for-like basis, revenue increased by 4.4%, driven by a significant number of openings and concession wins across Europe, Africa and the Pacific region. In France, revenue grew 3%, supported by higher air traffic, new concession and strong commercial initiatives in duty-free businesses. In the EMEA, excluding France, revenue was up 7% with solid growth in the U.K., Spain, Poland, Italy and Albania, driven by traffic growth and network expansion. Africa posted strong momentum as well, up 25%, thanks to recent opening in Benin, Cameroon and Rwanda. In the Americas, revenue was up 3%. In North America, activity was supported by network expansion and strong commercial performance in Travel Essentials and Dining, despite stable air traffic. South America delivered a strong growth of 28%, driven by the rebound in tourism and the opening of the new Lima Airport in Peru. Last but not least, in Asia Pacific, revenue declined by 12%, mainly due to North America, which turnaround, by the way, is well on track. This turnaround impacted the group revenue by close to 2% of growth. So long story short, excluding North Asia, Travel Retail revenue grew by 6.5% on a like-for-like basis. Let's now turn to profitability on the next slide. We are also pleased to share this record EBITA of EUR 312 million in '25, up 17% year-on-year. As a result, our operating margin reached 5.1% of revenues compared to 4.6% in '24. Travel Retail achieved a strong performance supported by the top line growth in Americas and EMEA and also with the China restructuring benefits and of course, a strict discipline regarding the costs. EBITA in '25 also includes EUR 23 million in restructuring charges and EUR 18 million in asset impairments, mainly in Asia and Iceland related to closure operation in order to preserve the profitability going forward. Going to the cash flow generation on the next slide. The CFFO of our Travel Retail business stood at EUR 224 million, again, a record level. This amount -- in this amount, we had an unfavorable impact on working capital from the numerous new duty-free concession openings in Amsterdam, Auckland and Cambodia this year that -- and from the -- an increase in inventories in France linked to the opening of a new warehouse. It's also worth noting that CapEx were slightly lower in '25, EUR 35 million lower this year compared to last year. This is not because we intended to slow down our investments, quite the opposite actually. It's rather linked to the very high level reached in '24 and derives from the project phasing from the new concessions. Let's now move on to Lagardère Live on Slide 15. As you know, this [indiscernible] brings together our radio channels, news magazine, ELLE licenses, live venues and artists production business. In '25, Lagardère Live generated EUR 219 million in revenue. Excluding the impact of Paris Match disposal in November '24, revenues continue to grow, up 1% year-on-year. The News and Radio segment delivered a slight increase, 0.3% compared to last year. The continued expansion of European's audience helped offset softer trends in music radio and regarding the advertising market. The Press business also performed well, supported by the launch of Le JDNews and by strong contribution from ELLE International licensing and by the ongoing momentum of our diversification strategy. Our live entertainment activities had a particularly strong year, posting 6% growth, driven by successful concert tours organized by L Productions and a record year at the Arkéa Arena in Bordeaux. Going to Slide 16. Lagardère Live, as you can see, strongly had its operating losses in '25, delivering a EUR 37 million year-on-year improvement, supported, of course, by significant cost-saving measures. The year '25 was still impacted by around EUR 10 million in restructuring costs. These costs relate to reduction of staffing costs as well as efforts to streamline the real estate portfolio inherited from a time when Lagardère Media perimeter was significantly larger than it is today. So as you can see, we remain fully committed to continuously reducing operating costs within this new division. And excluding these restructuring charges, EBITA would, therefore, be closer to a loss of around EUR 10 million. We are not yet breakeven, but as you can see, we are getting closer. The cash flow also improved sharply with cash burn reduced threshold. CFFO came in at minus EUR 11 million compared to minus EUR 43 million the previous year. And before wrapping up our review of the group performance, let me share a few comments on Prisma Media. For the full year '25, Prisma Media delivered revenue of EUR 266 million, down 9% on a reported basis. This reflects both the ongoing contraction of the print press market, the consumption patterns and the shift in digital advertising market. To respond and adapt to these challenging market conditions, we launched 2 restructuring plans, one in June and another one in December '25, covering around 300 employees, more than 1/3 of the total workforce. The aim of this is to, of course, safeguard profitability, Prisma is still profitable. I will come back to this later in '25 besides the restructuring cost. These certain changes in governance were also put in place and the new leadership team initiated several other strategic actions. First, we strengthened our people magazine portfolio with the acquisition of Ici Paris and France Dimanche in December '25, 2 magazines, which are profitable today and less impacted by the market changes that I just mentioned. Second, we decided to refocus on our core businesses and flagship brands with the planned divestment of our luxury magazines. And third, at the same time, Vivendi is expected to take 14% minority stake with a cash consideration. These last 2 transactions are currently under review by the staff representative bodies and are expected to be finalized by the end of this semester. Let's now move to the next slide with a focus on Prisma Media profitability. As you can see, Prisma's EBITA stood at minus EUR 43 million in '25, a decrease mainly reflected the decline in the top line and the impact of the restructuring cost of EUR 49 million. Let me point out again that excluding this cost, this restructuring cost, EBITA remained positive at EUR 6 million for '25. And of course, our aim is definitely to keep Prisma EBITA in this positive territory. Now that we covered the group -- the performance for each division, let me walk you through the financials at group level, starting with revenues on Slide 21. The total group revenue reached again EUR 9.6 billion in '25. As you can see, reported revenue growth was 4%, as I already mentioned it, representing almost EUR 400 million additional revenue in absolute terms. This year, again, organic growth remain the main driver, contributing EUR 310 million across all our businesses. The main scope effects came from the start of the duty-free operation at Amsterdam Schiphol Airport in May '25 as well as the acquisition of Sterling Publishing at the end of '24 and 999 Games at the beginning of '25, offsetting the sale of Paris Match in November '24. Regarding Amsterdam Duty Free, the tender we won in December '24 led to the acquisition of a 70% stake in the new joint venture with Amsterdam Airport, retaining the remaining 30%. So to be clear, this new concession has been accounted for as an acquisition and therefore, is not included in our like-for-like growth. On the negative side, foreign exchange had an adverse impact this year, quite a strong impact with the U.S. dollar being the main currency affecting our revenue, reflecting our strong presence in the U.S., both for Travel Retail and Publishing. Despite this FX impact -- adverse impact, as you can see, the growth is still very strong. Let's move on to EBITA on the next slide, Slide 22. As shown on this slide, we had a solid and steady improvement in '24 and '25. EBITA rose from EUR 490 million in '23 to EUR 551 million in '25, representing more than EUR 60 million increase. We are particularly pleased to see that this high level of EBITA continues to be almost evenly supported by our 2 core activities with, again, EUR 312 million contributed by Travel Retail and EUR 308 million by Publishing. Overall, this reflects a strong and balanced performance across the group's key businesses. Let's have a look now at the rest of the P&L below EBITA after deducting amortization of intangible assets related to M&A and the positive adjustment linked to the IFRS 16, profit before interest and tax reached EUR 429 million, representing a 7% increase year-on-year. Below this line, the finance costs improved by EUR 21 million in '25, driven by a reduction of the gross debt and a lower average cost of debt. Interest expense on lease liability increased by 8%, reflecting new, renewed and amended lease contracts, particularly in the United States, Auckland, Warsaw or Prague. Income tax decreased to EUR 73 million compared to EUR 93 million in '24, mainly due to exceptional items recorded last year. And as a result, net profit rose to EUR 112 million, an improvement of EUR 50 million, supported by lower finance costs and reduced tax burden. The level of minority interest is explained by the increase of Lagardère earnings, of which, as you know, Louis Hachette captures only 66%, also impacted by the decrease of the loss in Asia that are shared with minorities and the fact that Prisma's losses significant this year due to restructuring are fully burned by Louis Hachette Group. Despite that, as you can see, net results group share significantly increased from EUR 13 million to EUR 22 million. On the next slide, you can see the improvement again in terms of cash flow generation. Our CFFO increased from EUR 357 million in '23 to EUR 558 million in '25, a sharp uplift of EUR 155 million in 2 years. This reflects, again, the solid operational momentum across the group. This section on cash flow naturally leads us to the balance sheet and more specifically to the evolution of our net debt on the Slide 25. On this slide, you can see our usual net debt bridge over the last 12 months. And beyond the CFFO that I mentioned, our outflows includes EUR 100 million of tax paid and EUR 96 million in financial interest. Altogether, our CFAIT, that is the cash flow after tax and interest, amounted to EUR 363 million. On the M&A front, the group remained active but reasonable this year in line with our strategy with the acquisition, as I already mentioned, of 999 Game, Sterling Union Square Publishing, [indiscernible] in France by Lagardère Publishing, the first installment payment for the acquisition of the 70% stake in the joint venture operating the Schiphol Travel Retail concession that I already mentioned and also the acquisition of Ici Paris and France Dimanche for Prisma. In the opposite direction, we received also around EUR 40 million from the repayment of a vendor loan granted to Sportfive following the disposal of Lagardère Sport in 2020. In May, we also paid a EUR 0.06 dividend per share, representing a total of EUR 59 million. We also distributed EUR 85 million to minority shareholders, including EUR 32 million to minority shareholders of Lagardère itself and EUR 53 million to minorities at Publishing and Travel Retail level. All in all, these movements bring net debt just below EUR 1.6 billion at the end of this year. At this point, I would like to make a brief remark for those monitoring net debt at Lagardère level. Just like Louis Hachette Group, Lagardère's net debt also improved ending this year at exactly EUR 1.6 billion, which represents a EUR 255 million reduction year-on-year. As a result, Lagardère's net debt ratio fell also below 2x, 1.96x to be accurate at the end of '25 compared to 2.4x a year earlier. We are currently on track and even a little bit in advance with our deleveraging strategy. But of course, we remain fully focused on continuing this effort. And to continue on this topic, let's move on the next slide. As you know, in '25, the Lagardère Group successfully issued a EUR 500 million 5-year bond. The transaction was more than 3x oversubscribed by the market, demonstrating investors' confidence in the group's solid performance. Lagardère also raised EUR 300 million through a private placement structure in euro with a mix of maturity up to 5 years and fixed and floating rates. After these 2 refinancing operations for EUR 800 million, our net debt, as you can see, is now well diversified and well balanced between bank loans, private holders and bonds. And the maturities are also well spread until 2030, as you can see on this slide, and the weighted average maturity is 2.9 years. Let's now move to the conclusion and to sum up the key message for '26. So first, I would tend to say that we will continue to consolidate our leading position by staying fully focused on the solid execution of our strategy across all the businesses. This includes promising release schedule for Lagardère Publishing. Lagardère Travel Retail will also capitalize on major openings completed in '25 and growing air traffic, which all -- which will support growth momentum going forward. Our aim is still to deliver growth to increase margin with a strict cost discipline. And second, we also want to continue to deleverage the group, but we will invest to fuel the future growth. And we will remain attentive to bolt-on acquisition opportunities when they could make strategic sense. Third, regarding the dividend fiscal year '25, we will propose an ordinary dividend of EUR 0.06 per share to be submitted to the AGM in May. The ex-dividend date will be May 7 with payment starting on May 11. So '26 priorities reflect, again, a balanced approach, reinforcing our strategic position, continuing to reduce debt and maintaining a disciplined and predictable shareholder returns supported by strong operational momentum in both Publishing and Travel Retail. Thanks a lot for your attention, and we are now available to answer the questions that you may have.
Operator: [Operator Instructions] First question is from Eric Ravary, CIC Market Solutions.
Eric Ravary: First question on, could we have a comment on the outlook for full year '26 for both Publishing and Travel Retail, especially at the margin levels? Do you consider especially for Travel Retail that there is still room for margin improvement following the restructuring in China? And also a brief comment on the operating trends for the 2 businesses since the beginning of the year? Second question on Prisma. Do you expect further restructuring costs in 2026? And do you expect that the Prisma could post positive EBIT, excluding restructuring in 2026 following the staff reduction? And last question is on the debt structure. So you deleveraged the company in 2025. Is it a priority for you to continue to reduce leverage in '26? And could you give us an indication of the kind of leverage that you could target at end 2026?
Emmanuel Rapin: Thank you, Eric. I think I will hand over the answers to first Jean-Christophe.
Jean-Christophe Thiery: Okay, for Hachette. So as Gregoire explained, we had a very strong year in 2025 for Hachette. And for '26 we expect stable revenue despite ForEx potential headwinds with a weak U.S. dollar. Concerning France, we will not benefit from an Asterix release in an even year. And we will face a risk of erosion in coloring sales after outstanding sales in 2025. But on the other hand, we have a very promising publishing program, including new novels by Pierre Lemaitre and Guillaume Musso. For Guillaume Musso including new novel Le Crime du paradis and the trade paperback release of his previous title. We will have to the second year of middle school reform with mass, French LV1, LV2. In the U.K. and in the U.S., activity should remain relatively high after a record year in 2025. driven by a strong publishing program among which a new title by Kali Hart in the U.S. and in the U.K. or [indiscernible] in both countries? We will have Heartstopper #6 by Alice Oseman in the U.K. released by Jung Chang in the U.K., a new novel by Abby Jimenez in the U.S. The results should also benefit from the full impact of the synergies realized by Union Square acquired at the end of 2024. Concerning the EBITDA, we hope to be able to deliver EBITDA roughly in line with 2025 and to maintain a high level of margin ratio.
Unknown Executive: Regarding, Lagardere Travel Retail we believe the year 2026, we hope the year 2026 will be materially in the continuity of the last quarter of last year. What we see is a continuous slight increase on the traffic side. And we hope and we believe it will remain like that over the next 10 months. We will continue to benefit of a positive effect in comparison to last year of the Amsterdam integration that Gregoire highlighted started in May 1 last year. This will help us. counterpart of that, we continue the restructuring of China that should continue on the same -- at the same speed along the year, and most of the restructuring should be done by the end of '26 by the end of this year. This is in the context of a very challenging macroeconomic environment and, in particular, FX environment. the evolution of the dollar and the dollar pegged currency is something we take -- we look at very carefully. But for the time being, we're in the range of, let's say, mid-single-digit sales evolution. And regarding margin, EBITDA, we expect in absolute value should grow relatively substantially. In terms of percentage we believe there's still a little bit of room for a slight improvement in the rate marginal one, a result of slowing -- reduction of the losses in China as alluded in the question, but also all the efficiency efforts we're going throughout the world. We're delivering to the world to improve the overall profitability.
Gregoire Castaing: Maybe I can take the question regarding the live branch and Prisma for the Q4 and Q1 trend. Regarding the Q4, supported by the European strong audience performance, Lagardere News Advertising revenues held up well with a challenging advertising environment, as you know, declining only by 6%. For Prisma, the decline in digital advertising revenue for this last quarter is broadly in line with the market trends close to 10% in Q4. And regarding the beginning of this year for January, quite soon to say, but January trends are correct at this stage. For Radio, still driven by the European audience. However, the trend for Prisma is unfortunately aligned with what we saw in Q4 '25. Then you had a question regarding the restructuring at Prisma. I can also take this question. As I already mentioned, our target is to keep Prisma EBITDA in the positive territory. It's the case about the restructuring cost in '25. This is clearly a challenge for '26 but this is our target. The restructuring initiated at the end of '25 will, of course, generate savings as early as '26 on personnel costs. As well as in support and marketing functions. For a global amount estimated at this stage between EUR 15 million and EUR 20 million full year effect. But take -- let's be cautious with that number because are to be very accurate for '26 impact since, again, it's still under the review of the staff representative, and we are not completely sure about the timing. These two restructuring plans are already very large, as I mentioned it, more than 1/3 of the workforce. We saw -- at this stage, we don't contemplate other strong restructuring costs for '26, but we could have other costs in lower magnitude. But again, today, we are focusing on the last restructuring launch in December. So this is for Prisma. And then you had a question about the debt and the potential target regarding leverage. As you know, since '24, we have been executing a very disciplined deleveraging strategy. You saw the results. Our leverage ratio improved very strongly from 3x at the end of '23 to less than 2x at year end '25. And again, '26 deleveraging will remain a key strategic priority for the group. We'll continue to apply the same disciplined financial approach with a strong focus on EBITDA, working cap control prioritized investment that supports future growth. And at the same time, we also want to continue our policy of investments of disciplined bolt-on M&A and a reasonable level of dividend. So long story short too soon to give you a precise target for '26. But again, we want to considered the cash generation as a key priority for the group for the next year.
Operator: Next question is from Jerome Bodin of ODDO BHF.
Jérôme Bodin: A few questions on my side. First one, it's on China restructuring for Lagardere Travel Retail. Where are you exactly in the -- from the starting point? Is it 1/3, 2/3, half of the efforts? And when do you plan to be breakeven for this business, if you plan to be breakeven? That's my first question. My second one is on the Vivendi deal regarding Prisma. So if I have understood well, you are selling some title to Vivendi. Does that mean a cash in for you? And then Vivendi is buying a stake in Prisma. So if you could detail a bit the cash impact? And what's the valuation of Prisma that has been used? And last question on free cash flow. So the CapEx are down this year. Should we consider this level based on the revenues as the new normal? And also second question, so based on the EUR 90 million of restructuring in '25, what has been included in the free cash flow for '25, especially for the Prisma.
Unknown Executive: I'll take the Chinese one. First, maybe one point to highlight or to remember to all of you. The situation in China is a very typical situation because what we operate in China is mostly fashion, predominantly, 90% of the business is fashion in domestic airport. So it's a very somehow a typical market in which we operate. Despite all the efforts we did in the recent past, we do not see a clear turnaround of market trends. So we are in the process of restructuring. Depending on the way you measure it. I would say, if you count in terms of number of store closing, we are more than halfway if you count in terms of reduction of the losses, it's higher than the number of store shrink or decline. As I said earlier, most of the restructuring should be achieved by the end of this year. We're still in the red this year. But next year, we can consider we are in the range of 0 of everything, including bottom line.
Gregoire Castaing: Thank you, Fabrice. Coming back to the Vivendi deal regarding Prisma, again, this is under the review of all the bodies. So hand December '25, Prisma finalized, as you know, the acquisition of the magazine Ici Paris & France Dimanche and then we launched the 2 restructuring. The transaction again enable Prisma to refocus on its core businesses in a more challenging economic environment. The impacts are not very strong regarding the business of Prisma since the luxury branch represents close to EUR 20 million in terms of revenue and is close to breakeven in '25. Regarding the cash consideration and the cash impact, the consideration is regarding the sale of the Luxury division around EUR 10 million used in cash. And regarding the other part of the transaction since concurrently with the transaction regarding the luxury brands then will acquire a minority stake of around 14% in Prisma Group share capital. The transaction will contribute to EUR 30 million in cash for LSA coming from Vivendi. So this is for Prisma, Vivendi deal. Then you also had a question regarding the CapEx for '26 and is the '25 level. The new normal, actually hard to say. Again, the CapEx in '25 was, we were a little bit lower than expected, so I will tend to say that the target is between '24 and '25. I think it's better to consider the level of CapEx compared to the turnover and particularly regarding Travel Retail, I think that we should have level between, let's say, 3.5% and 4% of the total revenue. I think this is roughly in the long term, what we should target. And then you had a question about the cash impact what was exactly the question. The impact for the restructuring regarding Prisma, and during '25, we had roughly EUR 7 million already cash out for the restructuring plan launch for Prisma, mainly the one launched at the beginning of the year. So the main part of the restructuring costs in terms of cash will impact year '26 and maybe a little bit in year '27 depending again on the timing linked to the review, which is under process.
Operator: Next question is from Julien Roch, Barclays.
Julien Roch: Yes. The first one is, can you give us some colors on Q1 trends by division? That's number one. Number two, is there any assets in the Live division that you consider noncore? I know for instance, pricing is profitable, but maybe you could give a good price and deliver some more or the venues. So anything in there potentially could be noncore. And then last question is, could you give us some indication on cash flow, either cash flow conversion from EBITDA or some indication, whatever you can say on cash flow generation in 2026.
Emmanuel Rapin: So we start again, I think, a little bit summarize what is the trend for publishing with Jean-Christophe?
Jean-Christophe Thiery: Thank you, Emmanuel. So the Q1 of '26 should be roughly in line with 2025. despite the unfavorable comparison base effect with the first quarter of 2025, which had benefited from the huge success of Onyx Storm in the U.K. We will have a solid publishing program for the first quarter of 2026. Additionally, we will publish Judge Stone in the U.S. in March, which is a collaboration between James Patterson and the actress Viola Davis. And the activity for the first quarter in France will be driven by the success of Pierre Luminet which is the fourth titled in the series. He began in 2022, and we will have the return of Guillaume Musso who will publish a new novel Le Crime du paradis I mentioned earlier at the beginning of March, along with the simultaneous release of [indiscernible] in trade paper back.
Unknown Executive: I guess this is my term. So for regulatory Trade Retail, the month of January was somehow in the continuity of the last quarter of last year. that we find a pretty good result, especially in the context of very adverse weather conditions in Northern Europe, I have in mind Brussels and Amsterdam Airport in particular that were badly impacted by the snow wave. And also in North America, it was an extreme weather event. That affected traffic and therefore, our sales. Having said that, despite this very adverse effect, we maintain a good momentum in the continuity of last quarter, so mid-single-digit sales growth. We continue to be supported by the same effect because I said earlier, until end of April, this will be helping our growth. And this is despite quite painful in January painful FX effect. And that's why I said earlier for the full year, it's something we're going to monitor. But all in all, we're on track with what we were expecting mid-single digit in Jan. Well, that being careful extrapolating January is the lowest smallest months of the year. We believe the first quarter should be equal or slightly better than the month of January.
Gregoire Castaing: And I think that I already answered regarding the Prisma and Live trend for the beginning of this year. Coming back to the question that you had, Julien, regarding the assets that you named noncore assets or the Live branch as you know, these assets are definitely not for sale. It's not our plan. We clearly love these assets. It's a very strong portfolio of brand. They are all profitable apart the new activities. And as I mentioned we're targeting to be close to 0 for this news branch. And is clearly the priority for us. I prefer to focus on generation cash through operational improvements instead of planning any sale for good assets of the groups. Regarding the cash flow conversion for '26, of course, we will try to increase again, the cash flow generation for '26 for the next year. I think, of course, the main driver will be the profit and the EBITDA generated next year and the increase of the EBITDA. But just keep in mind that for '25, as I mentioned it, we have a few exceptional items that positively impacted the CFFO. The first one is the sale again, of our real estate asset in rue d'Assas and the sale of the Domain Name both represent together close to EUR 40 million. And we also as I mentioned it, the credit loan for reimbursement for sports for Lagardere Sports for also EUR 40 million. So all in all, we had close to EUR 80 million exceptional impact this year, it was not so easy to deliver these exceptional items to again sell particularly the rue d'Assas at this level. But this is down. And I'm not sure that we will have big exceptional items in '26. So the main driver, again, for the cash generation should be the operating result for '26.
Operator: Next question is from Christophe Cherblanc, Bernstein.
Christophe Cherblanc: Yes. I had the 3 questions. The first one was on minority interest. I think in the release, you mentioned that the improvement is coming from the lower level of losses in Asia. So it seems to be essentially due to lower losses in Asia. is that the right way to look at it. And if that is the case, EUR 20 million, EUR 19 million increase suggest a very, very strong improvement of the net contribution of Travel Retail Asia. Is that a fair assumption? The second question is just a confirmation, I had in mind that the share of operating profit generated in dollar was about 40%. Just wanted to have an update on that order of magnitude? And finally, on Live, I think, Gregoire, you just said that you were targeting for News to be at 0. Is that an assumption we should -- we can take for all of '26 for the whole of the division Live plus News.
Gregoire Castaing: Regarding the minority interest, I just mentioned that this has a positive impact regarding the minority interest at the group level since we share the loss with minorities. And since the loss are lower this year, we have, let's say, lower negative impact for the minority shareholders in the results. As you know, it's always quite difficult to explain in details all the impact for the earning group per share, particularly if you are at the Louis Hachette level. But if you have detailed question about this. We do not hesitate to outside this call, I have a discussion with the AR. They have all the sheets and the figures that help you to go from the net results from Lagardere to the net result from LHE with this clear speed between the group level and the minority level. Then you also have a question regarding the results coming from the U.S. and with the assumption of 40% I think it's quite a good assumption for this year. Again, the U.S. is clearly today our first market. So if you beside your question, the question is could we be also impacted by any change, of course, we could. We already mentioned it. But keep in mind also that we have a part of our debt, which is in dollar. So if we could have a negative impact regarding the FX for the revenue and the operating results, we could also have a positive impact balancing this for the net debt. And then you mentioned the target regarding Live. As I mentioned it, we are close to breakeven, not yet there. I think it's feasible to be breakeven in '26, it of course, depends a lot on the market in the advertising market. So I again prefer to be cautious, but I already mentioned this target 1 year ago, and we clearly want to achieve this level I hope this is feasible in '26, but if it's not the case, this will be for '27, we want to reduce the cost and the and the loss at this level. We are completely focused on this target.
Christophe Cherblanc: It was at Lagardere level where you've got that EUR 19 million increase. So you have 23% share of minorities. So if you do the math, that's massive improvement of the net profit of Asia. So I do know that last year, you had...
Gregoire Castaing: If you just have a look to the net result at Lagardere level, you have a very significant improvement regarding the net result, group share at Lagardere level. Then we have just to walk you through the net results from Lagardere to Louis Hachette. And again, this is something that we can do outside is no problem to give you all the details. You're right. The net result at Lagardere level improved a lot in '25.
Operator: Gentlemen, there are no more questions registered at this time.
Emmanuel Rapin: Thank you. Thank you all, and we conclude this conference call, and we hope to hear from you for the Q1 2026 in April. Thank you.
Gregoire Castaing: Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.